Operator: Ladies and gentlemen, thank you for standing by, and welcome to WSFS Financial Corporation Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I’d now like to turn the call over to your host for today, Mr. Dominic Canuso, Chief Financial Officer. Sir, you may begin.
Dominic Canuso:
Operator:  And our first question coming from the line of Michael Perito with KBW. Your line is open.
Michael Perito: Hey, good afternoon guys. Thanks for taking my questions
Rodger Levenson: Good evening, Mike.
Michael Perito: I want on the growth piece of it. It seems like you’re obviously really strong C&I franchise in your core markets, but it seems like other areas like some of your consumer partnerships and new lane and some of the equipment financing are seeing better growth. And I guess as part of that, because of having a little bit more geographic diversification, I was just curious if you could maybe update us on how you kind of view that element of your loan portfolio today and do you kind of see yourself exploring more of those opportunities in the future to try and enhance growth outside of the Metro Philadelphia, Wilmington area?
Dominic Canuso: Sure. Good question. And a lot there, but I’ll start off. We do see strength in the commercial loans. Obviously as we’ve mentioned, excess liquidity continues to play into the loan demand in our markets and particularly we continue to be disciplined in our pricing in terms, which results in the loan growth you’re seeing here. On the consumer side, we do have various partnerships and avenues generating the appropriate products and services for our customers including partnership with Spring EQ, which is secondary market mobile-based lending. We have LendKey generating, student lending and we’re just launching a new product in the third quarter here, which is unsecured lending with upstart, which we anticipate to add to the loan growth in the second half of the year.
Rodger Levenson: Yes. And if I could just add on that, Mike, just some historical context obviously – this is Rodger, obviously we’re a regionally focused commercial driven C&I bank. And so I would think that we’ve always liked to have some diversity in our loan book. We’ve kind of targeted, we’d like to have at least 20% of our loans, consumer loans that may go a little below or a little above, depending upon where things are at. But with our investments that we’ve made in a franchise here locally, I would expect that the majority of our growth overtime will come from local based lending with C&I being the leading category for us in the commercial area. Obviously, that’s a little bit challenged right now, because of, as Dominic said, the unevenness of the recovery and overall conservatism by a lot of our borrowers. But I think, we’ve demonstrated over time, the value of those relationships. And I think it’s important to point out that many of those relationships are the drivers of some of the deposit growth that we’ve seen, which I think again, just solidifies the premise of the strategy around full relationships.
Michael Perito: Got it. Very helpful. Just two more, I wanted to hit on real quick. Both yourselves and BMT had really strong quarters growing the wealth management, AUM and revenues. And obviously, I think when you guys announced the deal that was a pretty important element of the pro forma franchise. I’m just curious if you have any, I know you have the broader fee income guide, but I was just curious if you have any more general outlook comments about combining the two wealth platforms, and the type of growth that you think you could achieve once that happens.
Rodger Levenson: So – this is Rodger again, I’ll start now, let Art give you a little bit more specificity. I would just tell you that everything that we thought coming into the discussions through our due diligence and since then about the wealth opportunity has been confirmed. We think there’s just significant opportunity with our combined franchise. The integration process is going very well. The teams have come together, the leadership under Art and Jen Fox from BMT has really started to put together a very significant integration plan. And it’s being very well received by our customers and in the marketplace. So, I think everybody recognizes the value of the combined – excuse me, combined wealth businesses. And we see as much, if not more potential than when we did the original modeling, I’ll throw it over to Art for any kind of specific color.
Art Bacci: Yes, thanks, Rodger. Mike, this is Art and yes, I’d add maybe three points to that. One is, as Jen and I worked through the integration and getting to know each other, and we look at each other’s strategic plan, we laugh a little bit in that. It’s almost like we were looking over each other’s shoulders as we were preparing our plans independently. And so we’re finding the businesses are very complimentary, and the teams are realizing that and seeing the potential, but coming out of this, and they’re all very excited. So that leads us to believe that this is going to be a great combination. Secondly, Rick, Steve and I have been working over the last couple of years to really make sure the retail, commercial, wealth businesses are going into market on a more holistic basis, and we’re seeing a lot of good interaction between our ends, our advisors. And so we have in some cases, commercial relationships where the owners are selling the business and we’re getting good referrals. So, while we may not get the loan growth. We’re certainly getting the feed benefit from that. And we’re seeing the same thing on the retail side with all the excess liquidity and people looking for other places to invest the business. And then thirdly, our corporate trust business is really hitting on all cylinders. I mean, partly due to just the market securitization activity is very high. Secondly, our team with the addition of a new Business Development Officer has made inroads into new relationships. So that’s really helping and we see a pipeline that continues to be very robust on that front.
Michael Perito: Helpful color. Thanks. And then just lastly from me, and then I’ll kick it to someone else. Just Rodger, this probably a quick answer, I just want to confirm, I mean, is it fair to – for us to assume that once the Bryn Mawr Trust deal closes that your approach to capital deployment will probably near what you guys did leading into the announcement, as it regards to share repurchase appetite and kind of that that steady dividend payout.
Rodger Levenson: Yes. There will be no change to our long-term capital philosophy and strategy. Obviously, it’s just paused because of the – where we’re at in the combination.
Michael Perito: Appreciate it. Thank you, guys.
Dominic Canuso: Thank you, Mike.
Operator: Now, next question coming from the line of Erik Zwick with Boenning & Scattergood. Your line is open.
Erik Zwick: Good afternoon, everyone. Are you able to hear me?
Dominic Canuso: Yep. Hey, Eric.
Erik Zwick:
Steve Clark: Yes, Eric, it’s Steve Clark. The pipeline is fairly consistent with what it has been over the past a quarter or so. So, our 90-day weighted average pipeline for commercial is around $235 million that remained strong and as high as it’s been since the fourth quarter of 2019. So, despite the headwinds, we are getting opportunities across our C&I and CRE businesses and feel good about it. Regarding yields new loans, both greater than $250,000 for the second quarter, the weighted average yield was 3.52%. So, we target that mid-threes feel good about that, that compares the 3.67% in the first quarter, but fairly consistent.
Rodger Levenson: Yes, this is Rodger, if I could just add to that. Our fundings – our commercial loan fundings were up in the second quarter, just I think they’re little bit under $450 million. It’s just a challenge right now, candidly, to stay in front of the payoffs for all the reasons that we’ve talked about. So, we feel good about the momentum. It’s just the churn has been a little greater than we had anticipated, and that’s really what you see reflected in the outlook for the second half of the year.
Erik Zwick: That’s a good color. I appreciate it guys. Switching gears to credit. If I look back to the press release from second quarter of last year, that hotel portfolio had $247 million – excuse me, of loans that received, I think risk rating downgrades. And this quarter to 2Q21 press release indicated that total problem assets declined by about a $100 million or so mainly due to the hotel portfolio. So, just curious as you look at it today, kind of what is the percentage of that, those original loans that were downgraded that have yet to be upgraded and what are you seeing, but within those, any commonalities from geography or hotel type or occupancy, or what are you still kind of watching, and maybe it gives you some concern today?
Steve Clark: Yes, so, Steve, again. So yes, last year of our hotel book, which was about $540 million. We did downgrade and criticize a little over 50% of that book. So, we thought that was the correct action at that time. And as you’ve read, we’ve seen improvement there and we have upgraded some of that exposure here in the second quarter. So the percent of criticized assets in the hotel book has been reduced down to 39%. So all of those borrowers are paying all, but $44 million are paying their original contractual payments. The remaining $44 million, which represents four or five properties are paying interest only. So, the book really has held up and rebounded from where we thought we were back in the kind of the second quarter of last year. Occupancies continue to kind of trend upward. About a third of our book is leisure, so at the Jersey Shore or Delaware beaches, you cannot get a room this time of year with those locations. So very, very, very strong occupancy at the leisure hotel. The business travel is coming back. Occupancies have continued to increase. I don’t have specifics, but I can share anecdotally one borrower that we spoke to just this week has 15 properties, all business focused and current occupancies are approaching 70%. So anecdotally that’s one example of just the positive trend we’re seeing kind of across that entire portfolio.
Erik Zwick: Thanks, Steve. And just last one for me, and then I’ll jump off. Dominic in your prepared comments, you mentioned that you expect the excess liquidity and the drag on the margin to processed into 2022, as you look at all of the deposits that have come in from the stimulus efforts across both your commercial and consumer customers. How do you guys try and look at it and figure out what might be kind of sticky and then ultimately be long-term core deposits and what might flow out the door at some point in and leaves relieve some of the pressure on the margin?
Dominic Canuso: Sure. It’s a great question. I think it first stems from the fact that we focus on relationship-based banking and I would just add to your list, the trust and wealth deposits continue to grow as well, and really leads to our outsized and lower loan-to-deposit ratio in the mid-60s, and so it’s really, partnering with them, speaking to them understanding their demands. I think it will trend probably consistently with the overall growth in the economy, GDP and the impact it’s having on prices and spending overall. We do anticipate with a continued growth and there’s even more stimulus that could be on its way that we’re really focused on utilizing it appropriately. We paid off $100 million of our senior debt in the past quarter. We’ve paid off $0.5 billion of wholesale funding over the last year, and we’ve doubled our investment portfolio and staying within our kind of risk tolerance and liquidity expectations. And we’ll look to do that incrementally over the next quarter. And then really once we close on BMT, optimize the combined balance sheet with the ability to flex back down if we see the excess liquidity runoff.
Erik Zwick: Thanks for taking my questions.
Rodger Levenson: Thank you.
Operator:  Now our next question coming from the line of Brody Preston with Stephens. Your line is open.
Brody Preston: Hey, good afternoon, everyone.
Rodger Levenson: Hi, Brody.
Brody Preston: Hey, I have a question for you just regarding the runoff portfolio. So I’ll speak for myself and say that it’s a little challenging to model the runoff portfolio on a quarter-to-quarter basis, particularly to the residential side. And so I know you’ve got Bryn Mawr coming up in the beginning of the fourth quarter here, but has there been any thought to given to potentially selling the residential runoff portfolio and I guess maybe cleaning things up on the loan side just a little bit faster than letting it just run off so that way you can kind of maybe reset, and at that point with the deal closing, maybe you could use some of that capital to buy back a bigger sluggish shares to plug the earnings hole? I’m just trying to think about the puts and the takes of pursuing a strategy like that.
Rodger Levenson: Yes. I appreciate that, and I’ll address the resi mortgage specifically. I think, as you know, Brody, these runoff portfolios all really originate with the exception of residential mortgage from the beneficial transaction. And we thought initially it would take about four years for that stuff to a trade-off. It’s happened sooner right around three years by the time at the end of this year, primarily because of the rate environment. And really when you look at it that commercial portfolios will have runoff by the end of the year. And there’s a very small student loan portfolio left, and we don’t see any addition to the commercial runoff portfolios from BMT. So what will be left is the residential mortgage book. This strategy for us predated beneficial. And obviously we evaluate lots of different things, but most of these mortgages are either relationships today or potential for relationships because of where – significant portion are originated through our retail network or our mortgage loan officers who operate within this region. And so we want to use the opportunity to see if we can enhance those relationships over time. And really the “runoff going forward”, including what it will come over from BMT is really just the normal amortization of letting it a tradeoff. And we would expect that since we’ve kind of gone through this period where the rates dropped significantly, we wouldn’t expect to see as much refi activity although there will be some. So I think that will flatten out and be of a more normal sort of portfolio mortgage duration, attrition rate. And again, we want to focus when seeing if we can grow those relationships. So I wouldn’t expect in a near-term a wholesale, a transaction as it relates to our resi mortgage portfolio.
Brody Preston: Got it. Thank you for that. And maybe just to, I guess, maybe just as a follow-up to that, I’m assuming that the residential mortgages that you’ve pegged as runoff are kind of single relationship, they’ve just got their mortgage with you. So I guess what products are you trying to cross sell them into? And I guess, what have you been most successful with so far in terms of customers that might have been designated as a runoff loan originally, and you’ve converted them maybe to a more full relationship?
Rodger Levenson: Yes. So that large percentage of the mortgage, the resi mortgages that came over from beneficial, where I would call sort of single service relationships. So they were originated primarily through broker and builder arrangements, and they were never actively engaged with. We’ve undertaken an effort to make those fuller relationships. We’ve had a team of people who have been in contact with these customers to not only have hopefully capture a refinance opportunity, but also traditional banking products because they’re located here. These are all located here in our geographic footprint. And then the remainder of it is, we operate, as you know, and originate and sell model. So in many cases, these loans that are sitting here that are trading off are already part of significant relationships, including referrals that come out of our private bank, our commercial group, as well as the broader retail network.
Brody Preston: Got it. Thank you for that color, Rodger. I appreciate it. I guess just maybe when I’m switching gears, Dominic, there’s another quarter of significant liquidity growth despite the significant securities build you have. And so just with the buybacks being in suspension for another quarter and the loan growth guidance coming down a little bit, are you expecting for that liquidity, you just kind of hang around or are there any sort of near-term deployment opportunities from here that we should be thinking about?
Dominic Canuso: Sure. As I just mentioned, we have optimized a significant amount of the excess liquidity over the last year, including the June payoff of the $100 million senior debt, and doubling up the investment portfolio over the last year. We would look to continue to do that, and we’re doing it with an eye towards the BMT transaction and the post combination balance sheet optimization. So we do see the opportunity to continue to increase the size of the investment portfolio that works within our framework of acceptable investments, the low-risk, moderate yield and providing the cashflow liquidity that we expect from the portfolio. So you would likely see that continue to increase in the second half of the year.
Brody Preston: Got it. And then one of the slides that stood out to me in the deck was the digital slide. And given the sustained shift you’ve all have seen in the digital channels for customer interaction, just wanted to get an update on how your view may have been shaped over the last year or so on the branch network. Do you see the digital channel as an additional sort of customer acquisition tool, or do you think it’s becoming more of an alternative to physical locations at this point?
Rodger Levenson: Rick?
Rick Wright: This is Rick. I think what we’re seeing is there’s obviously a more rapid adoption of the digital products and services that we have. But we’re never going to be a digital first company. We think the relationships are important and we’re going to do everything to try to humanize the digital touch. And that’s what we’re doing in our delivery transformation effort. And we hope to see more of that hit the market over the next year.
Brody Preston: All right, great. And then last one for me. I’m sorry if I missed it in the deck, Dominic, but could you remind us what percent of the loan portfolio is floating rate? And then if there are any floors in place, what percent of the loan portfolio is at or below floor levels?
Dominic Canuso: Sure. We’re running about 50-50 between variable and fixed. And that would – we would look to continue to increase the variable portion of that portfolio as we talked about what the runoff of the resi mortgage portfolio and continue to grow the relationship-based C&I lending.
Steve Clark: Brody, this is Steve. About a third of that variable rate book have floors in the note. And all of our new originations over the past year and a half have floors either 0% LIBOR floors or a floor of 3% when we can get it.
Brody Preston: Got it. And Steve, do you happen to know what – of that third, do you happen to know what percent of that is currently at or below the floor levels?
Steve Clark: So I think we have to get back to you with an exact answer. My guess is a couple of $100 million at most.
Brody Preston: Okay. All right. Thank you very much, everyone. I appreciate you taking my questions.
Steve Clark: Thank you.
Operator: Now our next question coming from the line of Russell Gunther with D.A. Davidson. Your line is open.
Manuel Navas: Hey, this is Manuel Navas on for Russell.
Rodger Levenson: Hello.
Manuel Navas: Hey, just wanted to check in on this. With the efficiency ratio target of low-60s, do you have kind of what expense run rate should we expect to help achieve that?
Dominic Canuso: Sure. Yes. So we do anticipate, as I’ve mentioned, to continue our expense discipline in this environment and monitor the growth rate of the portfolio. But we will continue to invest in our delivery transformation efforts, as we’ve laid out in our materials and in franchise growth, particularly, in wealth and Cash Connect. And so we would continue to see some step up in the run rate of absolute dollar cost from the second quarter into the second half of the year, but would look to maintain positive operating leverage and ensure that revenues are growing faster than the expense growth rate.
Manuel Navas: Thank you. I’m – you got all the rest of my questions. Thank you very much.
Dominic Canuso: Okay. Thank you very much.
Operator: Thank you. And I see no further questions in queue. I would like to turn the conference back over to Mr. Canuso.
Dominic Canuso: Thank you for participating on the call today. Rodger and I will be attending investor conferences and events throughout the third quarter, and we look forward to meeting with many of you then. Enjoy the summer. Thank you.
Rodger Levenson: Thanks, everybody.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.